Operator: Welcome to Oracle's First Quarter 2021 Earnings Conference Call. Now, I'd like to turn today's call over to Ken Bond, Senior Vice President.
Ken Bond: Thank you, Erica. Good afternoon, everyone, and welcome to Oracle's first quarter fiscal year 2021 earnings conference call. A copy of the press release and financial tables, which includes a GAAP to non-GAAP reconciliation and other supplemental financial information can be viewed and downloaded from our Investor Relations website. Additionally, a list of customers being mentioned on this conference call, which have purchased Oracle Cloud services or went live on Oracle Cloud this quarter, will also be available from our Investor Relations website. On the call today are Chairman and Chief Technology Officer, Larry Ellison; and CEO, Safra Catz. As a reminder, today's discussion will include forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. Throughout today's discussion, we will present some important factors relating to our business, which may potentially affect these forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that may cause actual results to differ materially from statements being made today. As a result, we caution you from placing undue reliance on these forward-looking statements and we encourage you to review our most recent reports, including our 10-K and 10-Q and any applicable amendments, for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or publicly release any revision to these forward-looking statements in light of new information or future events. Before taking questions, we'll begin with a few prepared remarks. And with that, I'd like to turn the call over to Safra.
Safra Catz: Thanks Ken and good afternoon, everyone. Before I start, I want to make sure you understand that we will be making no comments regarding the press reports about TikTok, so there's no need to ask. So, now to Oracle's results, as you can see, we had a great quarter. As usual, I'll review our non-GAAP results using constant dollar growth rates unless I state otherwise. This quarter revenue was more than 150 million above the midpoint of guidance and EPS was [$0.70] above the mid. Currency helps a little, but this quarter was all about solid execution on the sales side, and disciplined management of our operations as operating income grew 8%, our best result in three years. As I've said previously, and only briefly interrupted by COVID-19, our mix of business is increasingly favorable. What that means is that our growing businesses are growing faster and are now larger than our declining businesses. Our fusion fast momentum is very strong. We're seeing the success of autonomous database, which will continue to get even better now that we have autonomous database available on Cloud@Customer. Our total Cloud services and license support revenues for the quarter were 6.9 billion, up 2% from last year and accounted for 74% of total company revenue. GAAP application subscription revenues were 2.8 billion, up 4%, but our Fusion app were up 26% with Fusion ERP up 33% and NetSuite ERP up 23%. Fusion HCM was up 22%. On our Fusion retention rates, which are already high continue to go up. GAAP infrastructure subscription revenues were 4.1 billion, up to 1%, but with database revenue up 3%. Autonomous database consumption revenue was up 64% and annualized consumption revenue for OCI was up 130%. Licensed revenues were 886 million, up 8%. So, all-in total revenues for the quarter were 9.4 billion, up 2%. As usual, we have continued to be disciplined in our spending with operating expenses actually down 3% this quarter. Non-GAAP operating income was 4.2 billion and as I said, up 8% from last year and our best operating income growth in three years. Obviously, we're thrilled with this result, and I expect that Q2 will be good as we're beginning to see our operating income become a bigger part of our EPS growth. Operating margin was 45%, up nearly 300 basis points from 42% last year. The non-GAAP tax rate for the quarter was 19.1, slightly below our base tax rate of 20% as a result of some discrete items, and EPS was $0.93 in U.S. dollars, up 16% in U.S. dollars, 14% in constant currency, and that is despite an interest expense being $120 million higher year-over-year for the quarter. The GAAP tax rate was 13.3%; also a result of some discrete items and GAAP EPS was $0.72 in U.S. dollars, up 16%, and up 15% in constant currency. Operating cash flow over the last four quarters was 13.1 billion, with capital expenditures of 1.6 billion and free cash flow of 11.5 billion over that same period. We now have more than $42 billion in cash and marketable securities. The short-term deferred revenue balance is 9.9 billion, down 4% in constant currency from a year ago, due entirely to timing differences in customer payments. Gross deferred revenue was in fact up in constant currency, and it was a 2%. As we've said before, we're committed to returning value to our shareholders through technical innovation, strategic acquisition, stock repurchases, prudent use of debt, and a dividend. This quarter, we repurchased nearly 90 million shares for a total of 5 billion. Over the last 12 months, we've repurchased 361 million shares for a total of 19.2 billion. Over the last 10 years, we have reduced the shares outstanding by 40%. In addition, we've paid out dividends of $3 billion over the last 12 months, and the board of directors again declared a quarterly dividend of $0.24. Now, to the guidance. Again, my guidance today is on a non-GAAP basis and in constant currency. Now, currency though is extremely volatile, as you can see in what happened in this quarter, but assuming current exchange rates remain the same as they are now. Currency should have a slightly less than 1% positive impact on total revenue and potentially $0.02 positive income effects on EPS for Q2. So, with that, total revenues are expected to grow between 1% to 3% in U.S. dollars and this because we will have slightly under 1% tailwind, so, in constant currency that kind of rounds into 0% to 2%, probably at the higher side. Non-GAAP EPS in constant currency is expected to grow 8% to 12% between $0.96 and $1 in constant currency, but again that's assuming a $0.02 tailwind. So, non-GAAP EPS in USD is expected to grow 10% to 14% and to be between $0.98 cents and $1.02 in U.S. dollars. Now, my EPS guidance for Q2 assumes our base tax rate of 20%. However, as you see, it's usually a little below it, sometimes it's a little above it. However, one-time tax events could cause the actual tax rates for any given quarter to vary, but I expect to [normalizing] for these things, it'll average to 20%. So that's what I targeted in this guidance. And with that, I'll turn it over to Larry for his comments.
Larry Ellison: Thanks, Safra. Let's say, Oracle occupies a unique position in the Cloud markets. Oracle is the only Cloud vendor that competes in both the enterprise applications market SaaS, and the infrastructure as a service market IS, our competitors in SaaS are people like Salesforce and Workday. Our competitors in IaaS are people like Microsoft and Amazon. They're different markets. We're the only one that spans these two markets. It's a very interesting dynamic. I believe we have the best technology in the market today at both the applications layer and the infrastructure layer of the Cloud. Well, analysts have ranked Oracle Cloud applications number one in both market share and customer satisfaction for some time. We're number one in customer satisfaction in HCM. We're number one in customer satisfaction in ERP, I can go on, but what's interesting is that those same analysts are beginning to take notice of the technical quality and customer satisfaction associated with Oracle's Cloud infrastructure as a service business. I'd like to read an approved statement from IDC about their recently published survey. In the 2020, Industry CloudPath survey that IDC recently released where it surveyed 935 IaaS customers on their satisfaction with top IaaS vendors including Oracle, Amazon Web Services, Microsoft, IBM, and Google. Oracle IaaS, OCI received the highest satisfaction score and the biggest year-over-year score increase of all IaaS vendors. In addition, 86% of those surveyed said, they expect their spend on Oracle IaaS and OCI to increase in the future. I suspect this comes as a big surprise to many of you, and many of our competitors. Just as Zoom picking Oracle Infrastructure surprised a lot of people in the recent past. I know the biggest question for investors has been, can Oracle preserve its huge market leading database franchise into this new Cloud era? Well, interesting question. Obviously an extremely important question to me and everyone here at Oracle, but if Oracle Cloud Infrastructure, OCI is in fact as IDC describes the best IaaS platform in the market, the IaaS platform with the highest customer satisfaction. And that same IaaS, OCI is the foundation for the world's only autonomous database. Where do you think the Oracle Database installed base is going to go? What we're beginning to see is that it's just starting to migrate. And it's migrating to both the Oracle public cloud the only place you could get the autonomous database and Oracle Cloud@Customer, excuse me, the only other place you can get the Oracle Autonomous Database, and Oracle Cloud Infrastructure, all together. Customers are picking Oracle Cloud Infrastructure and the Oracle Autonomous Database for a few very basic and very obvious reason; much better security, much better reliability, much better performance, and dramatically lower cost, much, much lower cost than AWS. And that's why people are and I'll talk about the people like 8x8 are another video conferencing system are moving entirely from AWS onto the Oracle Cloud. In fact, there is not a major video conferencing company that isn't talking to Oracle that moving to the Oracle Cloud. Zoom is a perfect example of why customers are choosing Oracle Cloud Infrastructure. We see the benefits of choosing OCI and Zoom’s results. Zoom’s recent earnings were stunning. Zoom may be the fastest company ever to have their company named become a verb. At Oracle, we love the Zoom, as most of our employees continue to work from home. And we love that Zoom’s usage of Oracle Cloud Infrastructure services delivered triple digit revenue growth in sequential quarters from Q4 last year to Q1 this year. OCI Cloud data centers are opening all over the world at a record pace. We now have 26 OCI regions live around the world, edging out Amazon AWS, which currently has 24 regions, and will be adding at least another 10 regions in the next nine months. We're not slowing down. We're speeding up. Oracle’s Database Cloud@Customer is functionally identical to the Oracle Database in the public cloud. That's why we're seeing the migrations going both places. They're going to Database Cloud@Customer, which is unique Oracle offering and they're going directly into our public cloud. So, the price is the same in both cases. The database is fully serverless and elastic in both cases. You only pay for what you use in both cases, and there are no upfront fees in both cases. We're seeing very rapid adoption of Oracle Database Cloud@Customer among our very largest customers, and this is just the beginning. In 2018, we delivered the world's first autonomous database, and the Oracle Autonomous Database is still the world's only autonomous database. When in 2019, we introduced the world's first autonomous operating system. And today Oracle economists Linux is still the world's only autonomous operating system. Now in 2020, we've introduced Oracle Autonomous Data Guard, which effectively eliminates [site downtime]. If the data center running your application goes down for any reason, Autonomous Data Guard immediately switches and automatically switches that application over to another data center. No human intervention is required to keep your application running without interruption, and no human labor is required to set up and configure an Autonomous Data Guard. To use Autonomous Data Guard, there's nothing to learn and nothing to do, you just have to turn on a single switch. Only Oracle offers this economist reliability feature. Another unique OCI offering is our dedicated region Gen 2 Cloud@Customer. Customers can now put our entire Gen 2 public cloud behind their firewall, in their data center, all of it. It's not just the Oracle Database behind your firewall. It's every service that's in our public cloud, compute storage fusion application, plus the economist database, the Autonomous Linux, Autonomous Data Guard, everything, and we manage it, and maintain it for the customer. You get all the benefits of the cloud, but it's in your data center behind your firewall. No one, not Amazon, not Microsoft, not Google, nobody, but Oracle can give customers a complete public cloud in their data center behind their firewall. Our strategic services are growing rapidly. Autonomous Database revenue grew 64%, an annualized consumption. Our Gen 2 OCI consumption rate was 130%. We're clearly growing faster than the market. And we're taking market share in the process. With that, I'll turn it back over to Ken.
Ken Bond: Thank you, Larry. Erica, if you could please queue up the audience for questions. We'll go to Q&A now.
Operator: [Operator Instructions] Our first question comes from Mark Moerdler with Bernstein Research.
Mark Moerdler: Thank you, and congratulations on the strong quarter and especially on license and margins. I'd like to ask about the guidance. Well, Q1 was strong while the economic destruction of COVID-19 is not yet over and get you guiding would look strongly, can you give us some more color on why you feel so confident? And specifically are you modeling to increase strength in database, SaaS ERP HCM, how big a factor is Gen 2 Cloud in the guidance? And the information would be appreciated. Thanks.
Safra Catz: Sure. Thanks for the question. So, it's really following the path that we were on before COVID really hit in March. And so, we were – what is going on is very basically an extrapolation of what's happening in the business. So, the things that are going very well and are growing and are getting larger and larger is everything associated with the Cloud. And that so does have implications on license because options grew not only, database options grew not only double digits, but actually 20% something. And analytics also grew because, as you know, with Oracle licenses, you can bring them to our Cloud. But in addition, Exadata and some of our Oracle specific hardware that's very strategic, you know, continues to do well, but really the [big barn theatres] are, the fact that our SaaS business is large and growing quickly, and now OCI, and our database cloud products and services are growing and they're getting larger and larger.  And so because we've got annual consumption revenue growing over a 100% and this kind of – this is now overwhelms the fact that some of our businesses, I'll give you an example, on-premise consulting. This business continues to get smaller, and so it's completely overwhelmed by the businesses that are growing faster. And commitment to our database is incredibly strong. More and more of our customers want to bring their Oracle databases to the Oracle Cloud. And then of course, you have the cases that Larry's talked about, where our just Oracle Cloud Infrastructure, Gen 2 is just so good, and so much cheaper and so performant and secure that more and more applications want to come to that. So that's really what's going on. I'm not seeing into the future. I'm basically looking at what's going on under the cover and it’s a very easy extrapolation, as our installed bases of our cloud businesses continue to grow.
Mark Moerdler: Excellent. Thank you.
Ken Bond: Next question please. Thank you, Erica.
Operator: Our next question comes from Brad Zelnick with Credit Suisse.
Brad Zelnick: Great, thanks so much for taking the question. And I'll echo my congrats to the company as well. I want to ask about Cloud@Customer, clearly there's a lot of excitement for how it can enable very large customers to adopt autonomous database and have all the benefits of OCI behind the firewall, and I appreciate it's only really become available in the last few months, but maybe for Larry, from a product market fit perspective, can you explain why this is such a big deal? And for Safra, are there any leading indicators you can point to maybe backlog or anything else to help us understand the leading demand for these products, which I assume it supports your confidence in the overall business accelerating? Thanks.
Larry Ellison: Yeah. I think I can explain it very clearly. So, we've been working on Oracle Autonomous Database for several years. As I mentioned, in my preamble, we came up with Oracle Autonomous Database in 2018, but if you're an on-premise user, there was no way to get access to the Oracle Autonomous Database until a couple of months ago. So, the Oracle Autonomous Database was available on our public cloud and has been for three years and it keeps getting better and better, but if you're an on a big on-premise customer, you know, you didn't have the late access to our latest and greatest database.  It was a very strange situation for Oracle that our late technology was not available for the vast majority of our customers. All of a sudden, with Cloud@Customer with our Database Cloud@Customer at very low prices you can get Oracle Autonomous Database and all the latest and greatest features we offer in the database. And have it delivered to your data center behind your firewall. And we think that growth here is going to be explosive. We had a version one, and I'll just, you know, full disclosure, we had a version one of this, that was rather difficult to install and difficult to use. And version two is kind of the extreme opposite we learned a lot. And version two is, you know really plug and play, goes in very, very fast. And it's very simple to use incredibly reliable and we're seeing – and we expect this to be one of the great stories this fiscal year. We think this is going to be triple-digit growth or, you know, Oracle Database Cloud@Customer, and the other thing is it's just going to preserve our database franchise. There's two ways; people are going to make the choice to upgrade or – and move from their current version of Oracle to Autonomous Database. And once with Autonomous Database they're not going anywhere.
Ken Bond : Thank you. Next question, please.
Operator: Our next question is from Heather Bellini with Goldman Sachs.
Heather Bellini: Thank you so much to the two of you. I just thought Safra, OCI had a great quarter, and obviously, it had really impressive growth with customers like Zoom that you've highlighted, and can you talk to us a little bit about the pipeline momentum you're seeing with OCI as customers accelerate their migrations to the Cloud? And also, can you share with us what type of workloads and applications are seeing the most traction with it or is it really broad based? Thank you.
Safra Catz: Okay, let me start, but I know Larry is going to want to say few things about this. So first of all, you have to understand that our Fusion customers are also on OCI, which means that all of the applications that they want to build themselves all custom things, they're on the Oracle database. They’re going to be putting them on OCI also. In addition, just realize that many of our database customers stayed on-premise and waited for us to have OCI Gen 2, which is powerful enough, secure enough, and capable enough for their crown jewels, and they've literally waited. And I know, and I have visibility into sort of the future because often they want to do what we call BYOL, Bring Your Own license, but they often need options. And so I can see their intentions when they're buying those options to bring those database workloads. Now, it is falling into the same categories that you've seen historically with us. The communication industry, the financial services industry, all of the industries that have very important high performance applications that run on Oracle they've been waiting to put them at OCI. And so we see that. Now some of them are putting it in the public Cloud, many of them, actually many more than I would have expected, and then others are doing Cloud@Customer. And this second generation of Cloud@Customers now with Autonomous Database is just so powerful for our customers. So, we're talking about app customers, database customers, custom applications, and then there are applications that otherwise just run as some of the competing Cloud services that when they do just like Zoom did, [but] 8X8, a whole bunch of others that really use a lot of network a lot of compute. May use a lot of storage, may have a lot of egress, you know, back and forth taking data in and out, they realize that Oracle is both more performance, and since you pay by the minute, the day, the hour, it's much, much cheaper. So we compete at every level of the stack. And it's really very, very, very broad based for us. I don't know, Larry, if you want to talk about – add some more to that.
Larry Ellison: Yeah, I’ll add a little bit of color. When Safra says our customers waiting for us, let me add a little more information. A lot of those customers actually tried to run Oracle at AWS. That’s right. It just didn't work very well. So, they’ve decided, maybe they should wait, and so they did. So, they did try. They looked around. They experimented, but the vast, vast, vast majority didn't work very well. We have an Exadata Cloud Service, we have, you know, autonomous database is not available anyplace, but the Oracle Cloud Exadata database service isn't available anyplace to the Oracle Cloud. We're much better – you'd expect us to be much better at running Oracle Applications than anybody else than we are, and a significant percentage of enterprise applications. You know, I don't know 40%, 30%, 40% are Oracle Applications. So, that's just a gigantic installed base that we think it's going to be moving to the Oracle. We're starting to watch it move to the Oracle Cloud. So that's one thing. So they tried, didn't work. So, they're coming to us. Next thing. A lot of our application customers, you know, we got well over 7,000 customers – Fusion application customer, 7,000 Fusion ERP customers. Now those customers are beginning to build data warehouses around their ERP data, everyone does. And they're building those data warehouses using Autonomous Database and Oracle Analytics and the Oracle Cloud using Oracle Infrastructure Services. As I said, the Oracle Analytic Cloud is an Oracle Infrastructure Service, is an OCI service. The Autonomous Database in OCI service. So, our application customers pretty much all of our medium and large application customers will become in the not too distant future, will become infrastructure customers, a lot again, and you've got to add them onto. So, these are people that our SAS customers are going to become infrastructure customers. On premise database customers are going to become infrastructure customers, either in the form of Cloud@Customer or Public Cloud. Then there are surprises like Zoom, you know, and 8x8, but there are more surprises like that. I think Zoom is a great example because it proves that the Oracle Cloud is secure, reliable, high performance, and economical. They pick – because it has nothing to do with the Oracle Database. It has nothing to do with them doing a SaaS customer that was just purely an evaluation of our Cloud versus Microsoft's versus Google's versus Amazon. And another example of that is high performance computing. Car companies simulating crashes. Now, why would anyone go to the Oracle Cloud to do high performance computing when you can go to Google, or you can go to Microsoft or you can go to AWS? Well, because we're much faster, therefore much of it – we’re much, much faster and therefore they get the simulations on faster, but they got to be willing to pay less. Yeah, almost every car company, well, maybe that's too strong. Half the car companies around the world are now either using our high performance computing or evaluating our high performance computing because we benchmarked so well, against the competition. And this is all new business, like the video conferencing business. So, the OCI team did a spectacular job of building, you know, a second generation learning from what Microsoft did? What Google did? What Amazon did? And then building the next generation, and it's so good, we're winning business everywhere. So, and again, and these are very early days. Gen 2 OCI is relatively new. And, Gen 2 Cloud@Customer is even newer. And these are both fabulous products that I think are going to do extremely well over the next few years.
Heather Bellini : Thank you very much.
Ken Bond: Thank you. Next question please.
Operator: Our next question comes from Raimo Lenschow with Barclays.
Raimo Lenschow: Hey, congrats from me as well. Originally, I wanted to ask about the Enterprise Edition of TikTok, but you said, I shouldn't ask about TikTok, so different question, though. The – would you maybe discuss, like we talked about the strength in Cloud, but the other thing that stood out this quarter was how much better you did compared to your peers on the license side. You know, you were up where everyone kind of was down quite significantly, and you touched on some of the drivers, but maybe you could double a click on some of that again, because that stands really out as something that we haven't seen in the industry. Thank you. 
Larry Ellison : I'd like to comment on that, because I think our licensed business is really misunderstood. People think are license – they see licensed business, and they translate in their brain license means on-premise. That is not true for us. It may be true for everybody else, by the way, probably is true for everybody else, but it's not true for us. We have this thing called bring your own license to the cloud. We encourage our customers to buy licenses, buy more licenses and our pitch is, you can run those licenses in your data center on-premise or you can bring those licenses to the Cloud and get big discounts running database in the Cloud. So, you cannot look at our growth and our database license business and say that's the old – revival of the old on-premise business. That is not correct. A lot of these people we have, when we see [indiscernible] and these big these big contracts for database. The reason people are buying more licenses, a lot of them not all of them, but a lot – majority of them is because they have the flexibility of bringing those licenses to our public Cloud to Cloud@Customer and getting big discounts. Getting, you know getting a benefit. Getting better prices by doing that. And a lot of people are doing this. So, again, don't translate license to mean not Cloud. A lot of the license is in fact, Cloud, as well as [on premise].
Safra Catz: Right. It’s driven. In fact, it's driven by their plan to move to the Cloud. And that is very, very clear because they're buying the specific option, which as I said, the options number, very high percentage growth this quarter, because it's really in preparation for their move to the Cloud. But I will also tell you that is available also in analytics and in some of the other some of the other techniques, you know technology licenses. So, analytics is very strong. The database options is extremely strong, very much pointing in the direction of moving to the cloud. So that's really what is driving it. It's not – it's generally not going to be staying on-premise. Some of course, stays on-premise and some will stay on-premise indefinitely, but many companies will be either hybrid, or will be Cloud@Customer, or of course in the public cloud. And that's really what's going on here. And it's, it's really quite clear.
Raimo Lenschow: Perfect. Thank you. Very clear. Congrats again.
Safra Catz: Yeah, thank you.
Operator: Our next question comes from Derrick Wood with Cowen and Company.
Derrick Wood: Right, thanks for taking my question and congrats on a strong quarter. I wanted to ask about the hardware side of the business. This is the first quarter seen without negative growth in a long time and to see you heading 70% gross margin, pretty impressive and far sooner than what we've thought. So, does this tell us you're mostly through bleeding off the commodity pieces, and that the majority of growth is driven by Exadata and Cloud@Customer and how should we generally think about the directional trends from here both in terms of growth and margins?
Safra Catz: Yes. So, the hardware growth is entirely dominated by our strategic hardware products, which is really most focused around Exadata. Revenue in Exadata was up 15%. Bookings in our strategic hardware, also up very, very high double digit. And we have actually an enormous Exadata backlog really the largest. It's actually double what it was, more than double what it was last year. And the reality is that this segment is very, very strongly. It has now gotten large enough. And, you know, the issue for us in Q4, as I mentioned, was really around supply chain. And, you know, that's taking a while to resolve itself, but we were able to make and shift a lot of Exadata’s, but we have an enormous backlog still behind that. And so that's really what's dominating. And of course, what that points to is, a commitment by our customers to Oracle, you know, you don't find Exadata to run anything, but Oracle Database, application, you know, Database Systems. And that commitment to the Oracle Platform is really shown up in this area. Cloud@Customer is not recognized upfront. Cloud@Customer is not recognized in the hardware line at all. In fact, it is recognized in the Cloud line when they go online and they consume, and they consume credit. So, Cloud credit, so it doesn't show up in that on-premise hardware line at all.
Operator: Our final question comes from Phil Winslow with Wells Fargo.
Phil Winslow: Hi, thanks for taking my question and congrats on a great start to the fiscal year. Just want to focus on applications. We haven't really talked about that a lot on this call. Obviously, you gave out some really strong numbers with Fusion Cloud, you know, Safra, you talked about some of the puts and takes in the overall business and I wonder if you could talk about those sort of applications specifically?
Safra Catz: Sure. I mean, really, when you think of our application business, you really have to think about Fusion and especially Fusion ERP, HCM, our back office, you have to think about NetSuite those are the fastest growing segments. And you have to take into account that we have some other things in that business that are smaller, and some of them are from acquisitions. And that is the less, you know the less strategic part of our business. And as that gets smaller, sometimes replaced by Fusion, that's why that business is really doing very, very well. Because the ERP – everything is Fusion, but Fusion ERP HCM, this whole area really growing quickly. I mean, what you see is, many of our customers both E-Business Suite, PeopleSoft JD Edwards customers, but we also see a new phenomena, which is historically it would be hard to push a door of an SAP customer, an SAP on-premise customer to – but now we find that many of those doors are not only – can be basically are already open for us. So, as the only provider of ERP and the cloud for large, medium, large companies, the Fusion products are really taking off. And so, we've been replacing not only our own products and other companies, but we've made a significant foothold in SAP customers, simply because they're really very frustrated with the vendors that they have installed on-premise. So, this business for us is an enormous opportunity. And it's really just chugging on all cylinders worldwide, in fact.
Phil Winslow: Great, thanks a lot. Keep up the good work.
Ken Bond : Thank you Safra, thank you Phil. A telephonic replay of this conference call will be available for 24 hours. Dial-in information can be found in the press release issued earlier today. Please call the Investor Relations department for any follow up questions in this call. We look forward to speaking with you. Thank you for joining us today. And with that, I'll turn the call back to Erica for closing.
Operator: Thank you for joining today's Oracle's first quarter 2021 earnings conference call. We appreciate your participation. You may now disconnect.